Operator: Welcome to Amplify Energy’s first quarter 2025 Investor Conference Call. Amplify's operating and financial results were released yesterday after market close on May 2 or May -- I'm sorry, May 12, 2025 and are available on Amplify's website at www.amplifyenergy.com. During this conference call, all participants will be in a listen-only mode. Today's call is being recorded. A replay of the call will be accessible until May 27, 2025 by dialing 800-654-1563 and then entering access code 52458798. A transcript and a recorded replay of the call will also be available on our website after the call. I would now like to turn the conference over to Jim Frew, Senior Vice President and Chief Financial Officer of Amplify Energy Corp.
Jim Frew : Good morning, and welcome to the Amplify Energy conference call to discuss operating and financial results for the first quarter of 2025. Before we get started, we would like to remind you that some of our remarks may contain forward looking statements, which reflect management's current views of future events and are subject to various risks, uncertainties, expectations and assumptions. Although management believes that the expectations reflected in such forward looking statements are reasonable, It can give no assurances that such expectations will prove to be correct and undertakes no obligation and does not intend to update these forward looking statements to reflect events or circumstances occurring after this earnings call. Please refer to our press release and SEC filings for a list of factors that may cause actual results to differ materially from those in the forward looking statements made during this call. In addition, the unaudited financial information that will be highlighted here is derived from our internal financial books, records, and reports. For additional detailed disclosure, we encourage you to read our Form 10-Q, which was filed yesterday afternoon. Also, non-GAAP financial measures may be disclosed during this call. Reconciliations of those measures to comparable GAAP measures may be found in our earnings release or on our website at www.amplifyenergy.com. During the call, Martyn Willsher, Amplify's President and Chief Executive Officer, will provide an update regarding our first quarter performance with a specific focus on the most recent beta field development results, updated guidance and recent acreage monetization in East Texas. Next, Dan Furbee, Senior Vice President and Chief Operating Officer, will provide an overview of first quarter operational performance. Following that, I will discuss first quarter financial results, provide an update on our balance sheet and liquidity and provide additional details on our hedge book. Finally, Martyn will provide final thoughts before opening the call up for questions. With that, I will hand it over to Martyn.
Martyn Willsher : Thank you, Jim. Amplify had a strong first quarter 2025 generating $19.4 million of adjusted EBITDA, $25.5 million of operating cash flow and producing 17,900 BOE per day. At Beta, we continue to build off the success of the 2024 development program, which was anchored by the strong results from the A50 and the C59 decent completions, which continue to perform above our predrill type curves with IRRs in excess of 90% at $60 oil prices. Following up from those successes, we recently completed the C54 well in the D-Sand, which through its first 20 days of production, has been the strongest well in the program with an IP20 of approximately 800 barrels of oil per day. With the recent completions of the C48 and C54, the field now has four new development wells online, which after offsetting the asset base decline have increased beta production by approximately 35% since early 2024. Due to the success of the Beta development program, at year end 2024, Amplify had 25 PUD locations on our year end reserves, 21 of which were in the D-Sand. Based on the type curve utilized in those reserves, these PUD locations have a PV-10 value of approximately $144 million at a $65 flat WTI price oil. However, all of our D-Sand completions to date have significantly outperformed the type curve, which indicates material upside to this valuation estimate as we continue to generate consistently outstanding results from our D-Sand completions. In East Texas, the company monetized portions of its Haynesville acreage position to bring forward cash flow. As previously announced, in January 2025, Amplify sold 90% of its interest in certain units with Haynesville right in Harrison County, Texas for $6.3 million in net proceeds. In May 2025, Amplify completed a separate transaction to monetize 90% of its interest in additional units with Haynesville rights in Panola and Shelby Counties, generating an additional $1.5 million in proceeds. In aggregate, Amplify has now completed three Haynesville acreage transactions since November 2024, generating $9.2 million net in total proceeds, while also retaining a 10% working interest in more than 30 gross non-operated development opportunities to realize additional upside value in future periods. Turning to guidance. In light of the recent material reduction in oil prices, we conducted a comprehensive review of our remaining uncommitted 2025 capital budget and have elected to temporarily defer three development projects at Beta, resulting in capital savings of approximately $50 million. While our beta development projects have outstanding economics at current oil prices, we have flexibility on the timing of these projects and are committed to maintaining strong free cash flow and a healthy balance sheet for our investors. We are also conducting a thorough review of additional cost savings opportunities, targeting reductions in additional capital projects, operating costs and overhead. In summary, with the additional strong results of the C54 well, we continue to be very optimistic about the long term potential of our Beta development program. While we are temporarily deferring some beta projects due to commodity price uncertainty, our long term development strategy remains intact and we will prioritize adding back Beta wells as market conditions improve. In the meantime, we intend to continue focusing on reducing cost across the organization, maintaining strong free cash flow and evaluating portfolio optimization opportunities, which could enable us to accelerate beta development. With that, I'll hand it over to Dan.
Dan Furbee : Thank you, Martyn. During the first quarter of 2025, average daily production was approximately 17.9 MBoe per day, a decrease of 0.6 MBoe per day from the prior quarter with a production commodity mix of 46% oil, 16% NGL and 38 natural gas. The decrease in production from the prior quarter was driven by natural gas NGL volumes affected by a gas imbalance adjustment in East Texas and adverse weather in Oklahoma causing widespread power outages. These negative impacts in production occurred early in the quarter and were factored into our previously announced annual production guidance. Total production is expected to increase in the subsequent quarters as the gas imbalance in East Texas was resolved in the first quarter. Volumes from the non-operated development projects in East Texas and Eagle Ford are scheduled to come online in the second quarter and beta production continues to grow after the repair of ESP failures occurred in the fourth quarter of 2024 and the benefit of the recently completed C54 well. Month to date, our current average production rates at Beta are approximately 5,500 growth or 4,140 net barrels of oil per day. This is after the effect of the C54 well. Our current production rates at beta represent an approximate 20% increase from our first quarter volume. Due to the reduction of our capital program in 2025 as described by Martyn earlier, our annual production guidance range has been adjusted slightly for 2025 and is now 19,000 to 20,500 per day. For the first quarter, lease operating expenses were approximately $37.4 million a $2.3 million increase in the prior quarter and in line with internal projections. Lease operating expenses are expected to decrease in the second half of 2025 after the effect of cost savings projects being completed in barrel oil and fewer expense workovers scheduled later in the year. These operating expenses for the first quarter also do not reflect $900,000 of income generated by Magnify Energy Services. We expect to continue improving our cost structure throughout 2025 and are guiding meat operating expenses to the midpoint of $143 million. This is approximately flat when compared to 2024 despite expected increase in total production and the cost pressures we are seeing from the elect utility rates at Fair Oil, which represent a large portion of our total LRE. Given the recent decrease in oil prices, the operations team is exploring additional cost saving opportunities across our asset base. The company's total capital investment for the first quarter was $23.1 million, approximately 55% of the capital was invested at Beta in our development drilling program, recompletion and facility project. The remaining capital was invested in non-operated drilling in the Eagle Ford, East Texas, as well as various capital workovers and facility projects across our assets. Our 2025 capital program is now expected to be between $55 million and $70 million. The adjusted 2025 operations development plan is designed to continue unlocking the underlying value of the company's assets, while adjusting for lower commodity prices to maintain strong free cash flow for the year. The main driver of the reduced capital is through the deferral of development activity at Beta. Even though the D-Sand completions at Beta have breakeven oil prices below $35 per barrel, Beta development is where we have the most flexibility with the remaining capital allocated to invest in 2025. Amplify intends to now complete three wells in 2025 at Beta, with the option to add back wells this year should commodity prices improve. The C48 well, the first of now three wells to be completed in 2025 was completed in mid-February and is now in line. As discussed last quarter, the C48 which was originally designed as a D-Sand completion, but due to adverse drilling conditions encountered, we decided to complete the shallower C-Sand. The current production of the C48 C-Sand completion is approximately 100 barrels of oil per day. Even though the early results of this well are underperforming our initial expectations from when we decide to pivot to a C-Sand completion, we believe the future production as well will be higher once additional water injection is directed to the C-Sand formation in this area of the field as the well logs and production indicate a high oil saturation reservoir. However, we are seeing lower oil graphies in the C-Sand and lower reservoir pressure, which are negatively affecting overall deliverability, but can be improved with additional water injection support in the future. The total capital cost of the C48 well was approximately $8.5 million which is higher than our expected development cost due to the complications encountered while drilling. We still expect future development cost to be between $5 million to $6 million per well. As a reminder, the D-Sand is our primary target and is where we are planning the majority of our near to midterm future completions. After the D-Sand, the S-Sand is considered our secondary target with excellent geophysical characteristics and significant remaining inventory. The C-Sand is our tertiary target of Beta. However, we may find parts of the field where we decide to test the C-Sand as part of our development program before the complete development of the primary secondary targets. After the completion of the C48, the Beta drilling team made additional enhancements to our drilling procedures, including the implementation of managed pressure drilling to help improve our ability to manage drilling hazards, like the issues experienced in the C48. The changes were implemented in the drilling of the C54 well with excellent results. We completed the C54 well in mid-April and early results are outstanding with approximately 800 barrels of oil per day average production over the first 20 days since first oil. This further demonstrates the excellent results of the D-Sand completions as we now have three D-Sand wells producing, all of which are projected to have greater than 90% IRRs at $60 oil prices. We expect to spud our next development well, a D-Sand completion in late July. Additional information regarding the beta development plan can be found in the company's investor presentation under the Investor Relations section of the website. In East Texas, we are participating in the completion of four non-operated development wells, which we expect to be online in the late second quarter. The completion of this four well pad is expected to provide strong additional gas production in the second half of 2025. In the Eagle Ford, we are participating in 14 growth 0.7 net new development wells and 2 growth 0.4 net recompletion projects. These non-operated wells with highly accretive returns have been completed and are scheduled to come online this month. The company has also evaluated additional development opportunities recently offered by our partners in the Eagle Ford where we have interest. The majority of the remainder of our 2025 capital has not changed from our prior guidance and we will be investing in facility projects including the previously discussed $8 million pipeline upgrade project at Beta and a full field implant turnaround facility project at Bayer Oil for approximately $5 million. Additionally, we are continuing to invest in small but accretive capital workover programs in Oklahoma, East Texas and Bayer Oil, which include artificial lift conversions, recompete and well reactivation, as well as additional investments in Magnify Energy Services. And with that, I will turn it over to Jim.
Jim Frew : Thank you, Dan. I would now like to discuss the following items: first quarter financial performance, balance sheet and liquidity and hedging. With respect to first quarter financial performance, the company reported a net loss of approximately $5.9 million, compared to a $7.4 million net loss in the prior quarter. The change was primarily attributable to a non-cash unrealized loss on commodity derivatives in the quarter, partially offset by a gain on the sale of our East Texas properties. Excluding the impact of the non-cash unrealized loss on commodity derivatives, the East Texas divestiture and other onetime impacts, adjusted net income was $3.8 million for the first quarter. First quarter adjusted EBITDA was $19.4 million a decrease of approximately $2.4 million compared to the prior quarter. The decrease was primarily due to higher lease operating expenses and G&A costs that are typically higher in the first quarter, partially offset by stronger gas price realizations. In total, first quarter lease operating expenses were approximately $37.4 million or $23.28 per BOE. As Dan said, our lease operating expenses does not reflect the $900,000 of income generated by Magnify in the first quarter. First quarter production taxes were $4.4 million down $1 million versus the prior quarter. In addition to benefiting from lower production, we realized a onetime benefit of reversing an accrual for 2024 lease submission charges. First quarter GPT costs were $4.3 million or $2.67 per BOE. GPT cost per BOE have remained relatively constant through recent quarters and we expect that to remain true for the balance of 2025. Cash G&A expenses were $7.3 million for the first quarter. Though G&A is usually higher in the first quarter, Q1 '2025 cash G&A was down 7% versus Q1 2024. We expect cash G&A to be within our guidance range for the remainder of 2025. With respect to capital, Amplify invested $23.1 million in the first quarter, which was in line with expectations. The company's capital allocation was approximately 55% for the Beta development drilling, recompletions and facilities and 30% for non-operated development projects in East Texas and the Eagle Ford. The remaining capital was distributed across the company's other assets. Free cash flow defined as adjusted EBITDA less CapEx and cash interest expense was negative $7.2 million for the first quarter of 2025, but in line with expectations due to planned capital investments in the first quarter. As of March 31, Amplify had $125 million of debt outstanding under its revolving credit facility. At the end of the first quarter, the company's liquidity was $20 million and net debt to last 12 months adjusted EBITDA was 1.3 times. The company is currently working on a spring semiannual redetermination of its borrowing base and expects that process to be completed by the May. Recently, Amplify added to our hedge position further protecting future cash flows. In the first quarter, Amplify executed crude oil swaps covering the first half of 2026 at a weighted average price of $62.55 per barrel. Additionally, we placed crude oil swaps covering the first half of 2027 at a weighted average price of $61.93 per barrel. The company also added natural gas swaps covering 2026 at a weighted average price of $4.12 per MMBtu, collars for the first quarter of 2026with a weighted average floor of $4.50 per MMBtu and a weighted average ceiling of $5.73, and natural gas collars for 2027 with a weighted average floor of $3.57 per MMBtu and a weighted average ceiling of $4.58 per MMBtu. As of May 12, our forecasted PDP crude oil production was approximately 75% to 80% hedged for 2025, 50% to 60% hedged in 2026 and 10% to 15% hedged in 2027. On the gas side, our forecasted PDP production is hedged 80% to 90% for 2025 and 2020 50% to 55% hedged in 2027. We will continue monitoring the market and we will look for opportunities to add to our strong hedge position. With that, I'll turn the call back to Martyn.
Martyn Willsher : Thank you, Jim. As we look ahead, we are excited about Amplify's future. Amplify remains committed to exploiting the long term value potential of the Beta field, and we anticipate strong results for oil production from the area in 2025. This enthusiasm is warranted by the results from the two wells we brought online in 2024 and the recently completed C54 well. All of these wells have breakeven prices below $35 per barrel and compare favorably to the economics of the best oil development place in the country. The strong cash flow profile of these wells provides substantial benefits to the company and creates the flexibility to consider a range of value maximizing opportunities for our existing assets. We will continue to find ways to enhance shareholder value through diligent asset management, a relentless focus on managing our cost structure and prudent capital allocation. In summary, our diversified portfolio of mature low decline assets and robust hedge book protect our cash flow profile during commodity downturns, allowing us the flexibility to scale up or down investments in either oil or gas projects depending on market conditions. We remain confident that we still have all the elements in place to make 2025 a successful year for the company and its stakeholders. With that, operator, we are now open for questions.
Operator: [Operator Instructions] And our first question comes from Subash Chandra from Benchmark. Please go ahead, Subash.
Subash Chandra: Yeah, thanks. Good morning. So two questions. First on the bank debt, do you have a goal in mind to exit the year? And second is to bring back development at Beta, $35 breakeven, we're obviously well above that, but you're looking for a better oil price. What would that oil price be to go back to the program?
Jim Frew : Yeah. Hey, Subhash, it's Jim. Yeah, I think obviously our expectation is that we'll generate positive free cash flow this year and our goal is to continue to pay down the debt. That's been our consistent hope. As we've talked about long term, our goal is to be 0.5 turn to 1 turn of leverage. So there's a lot of ways to get there, but that's the goal. As it relates to the drilling, I'm sure Martyn will have something to expand on that. Part of it is commodity price, part of it is liquidity, right? So there are a lot of levers we can pull there to create that opportunity. But we think the results have been really good and really supportive, and we want to continue to aggressively do that. But we want to do it prudently, right? So as oil prices have come down and we forecast out our cash flow, we want to be thoughtful about our development pace, but we will look at all kind of levers we can pull to ramp that back up because the results have been so good.
Martyn Willsher : Yeah. I'll just add on point number two that -- while we're very excited about especially this most recent well with the changes we made operationally, I think that that well went as smoothly as we've seen to date and we're very proud of the team and the changes they've made to really obviously execution of that program is key to the long term success of the company. And I think we're we executed better on that well than we have on any other well to date. And so really excited about continuing to develop that Beta. To Jim's point, obviously, we're going to be managing the balance sheet, but there's other things we can do. Obviously, commodity prices could help if they move up a little bit in the 60s and liquidity has a significant enough cushion, then we'll certainly add wells back. But we could also look at other portfolio optimization opportunities that could create some additional liquidity and use that to drive further beta development. That's something that we'll be actively looking at as we move forward. So few different levers there that we could pull because obviously we are committed to further beta development as we move forward.
Subash Chandra: Yeah. And so to that point on portfolio optimization, you mentioned that in the press release and you just mentioned it again. Are we talking more Haynesville or are there other opportunities?
Martyn Willsher : I think we're looking at all of the potential opportunities in our portfolio, other than obviously Beta that we're the most excited developing, anything else that would create liquidity and we could redeploy the funds into higher return of investment projects at beta then I think we owe it to ourselves and to our shareholders to look at all of those opportunities and that's what we're doing.
Subash Chandra: Thanks a lot, guys.
Operator: And at this time, there are no further questions. I'd like to turn the call back over to Martyn for closing remarks.
Martyn Willsher : Thank you. I'd just like to express my appreciation to all of our employees for their outstanding efforts and dedication and really to all of our stakeholders for the continued support. It's obviously been a difficult start to the year for and with commodity prices and really just wanted to say thank you to everyone who's continued to support us. And we're actively listening to and talking to our shareholders and we'll continue to work with all of you moving forward. So as always, if you have any follow-up questions, please don't hesitate to reach out to us directly. Thank you.
Operator: This does conclude today's Amplify Energy investor conference call. Thank you for your participation. You may now disconnect.